Operator: Hello, everyone, and thank you for standing by for the Vince First Quarter 2023 Earnings Conference Call. My name is Daisy, and I'll be coordinating your call today. I would like to hand over to your host, Caitlin Churchill, of Investor Relations at Vince to begin. So, Caitlin, please proceed.
Caitlin Churchill: Thank you, and good morning, everyone. Welcome to Vince Holding Corp.'s first quarter fiscal 2023 results conference call. Hosting the call today are Jack Schwefel, Chief Executive Officer, and Amy Levy, Chief Financial Officer. Before we begin, let me remind you that certain statements made on this call may constitute forward-looking statements, which are subject to risks and uncertainties that could cause actual results to differ from those that the company expects. Those risks and uncertainties are described in today's press release and in the company's SEC filings, which are available on the company's website. Investors should not assume that statements made during the call will remain operative at a later time, and the company undertakes no obligation to update any financial information discussed on the call. In addition, in today’s discussion, the company is presenting its financial results in conformity with GAAP, and on an adjusted basis. The adjusted results that the company presents today are non-GAAP measures. Discussion of these non-GAAP (indiscernible) and reconciliations of them to their most comparable GAAP measures (indiscernible) and related schedules, which are available in the Investors section of the company's website at investors.vince.com. Following today's remarks, there will be no Q&A session. Now, I’ll turn the call over to Jack.
Jack Schwefel: Thank you, Caitlin, and thank you for everyone for joining us this morning. I'll begin my discussion with a review of the highlights from Vince Brand's first quarter performance, before turning the call over to Amy to discuss our financial results in more detail. Our first quarter results were largely in line with our expectations, supported by our efforts to streamline our organization to focus on our core strengths while maintaining a disciplined approach to expense management as we continue to navigate a challenging macro environment. As expected, we continued to navigate a challenging macro environment during the first quarter, which impacted our topline performance across both our wholesale and direct to consumer channels. Within both channels, we saw a relative outperformance of stores compared to e-commerce, which we attribute to the broader industry trend occurring with the customer. With respect to our wholesale performance, we have seen pockets of strength with key partners, while others remain cautious given the current environment. That said, we believe we are well positioned with the strength of our relationships, and while we are maintaining a prudent outlook for the remainder of the year, we are continuing to stay close and work with our partners as we continue to move through the year.  Turning to our direct-to-consumer performance, as I mentioned, like others, we saw customers continue to engage more in stores versus e-commerce during the period, though both channels were impacted by the macro headwinds affecting our consumers. In the direct business, we made the strategic decision to begin to pull back and become more surgical with our promotional cadence, given our improved inventory position. We leveraged insights from our customer data platform to create more targeted events and were encouraged by results we saw, particularly in stores and with our reactivated customer segment. Going forward, we will continue to leverage CDP to not only drive better returns through greater personalization, but drive enhanced loyalty and expand our customer base. During the quarter, we continued to see strength in our men's business and took steps to fortify our design team. With the addition of our new Vice President of Men's Design, Kris Haigh. Kris brings over 20 years of design experience to the team. Kris began his design career in the United Kingdom with Marks & Spencer and then Alexander McQueen, and moved to the United States where he worked for Ralph Lauren, Abercrombie, Gap, and LVMH, as well as launching his own brand, Kristopher. As I mentioned on our last call, we recently opened a men's store in the Roosevelt Field Mall on Long Island in New York, and have been very encouraged with the initial results we are seeing. We are continuing to explore opportunities to expand our men's business further over time. Within our women's business, we are seeing her shift to buying closer to need, and saw dresses perform very well in the latter half of the quarter, and knits also picked up as the quarter progressed. Across both men's and women's, we also saw our customers respond well to our seasonal basics. In our stores in particular, we saw women gravitate to our vibrant color palette we offered in many of our styles this season.  Turning to international, we have continued to open shop and shop locations with our recent opening in Harrod’s in Q1. As we move forward, we are reviewing our international go-to-market strategy, and plan to leverage our previously announced new partnership with Authentic Brands Group and their expertise as a global brand development, marketing, and entertainment platform. As a reminder, during the first quarter, we announced our plans to enter into a strategic partnership with Authentic. Through this transaction, which we recently closed following quarter end, we contributed the Vince brand intellectual property to a newly formed Authentic subsidy, ABG Vince, for total consideration of $76.5 million in cash from Authentic, and 25 membership interest in ABG Vince. In addition, we entered into an exclusive 10-year license agreement with eight 10-year renewal options to continue to operate the business substantially in the same manner as we do today through our wholesale, retail, and e-commerce channels. Through this arrangement, we have further streamlined our operations to focus on our core strengths, and with the additional capital, we have strengthened our balance sheet and enhanced our ability to execute against our growth initiatives. We look forward to working with ABG while continuing our operations as an independent publicly traded company with no changes to our governance or ownership structure.  As we look to the remainder of fiscal 2023, we are maintaining a cautious outlook with respect to the environment. We are continuing to focus on areas of the business that we can control as we enter this new chapter for Vince. Our first priority will be to focus on driving improved profitability, and we are taking a hard look at our entire cost basis and sourcing needs to continue to find efficiencies to drive margin expansion over time. Before I close, I want to thank our teams for their continued hard work and dedication to Vince. We are excited for this new chapter of the business, and with the strength of our teams, enhanced focused on our initiatives, and partnership with ABG, we believe we are well positioned to continue to execute and deliver against our objectives to drive long-term success and shareholder value.  With that, I turn it over to Amy.
Amy Levy: Thank you, Jack. As Jack discussed, our first quarter results were relatively in line with our expectations. The quarter presented both headwinds and tailwinds as we continue to navigate a challenging environment, but also benefited from the actions we have taken to streamline our organization, along with increased freight favorabilities that we expect to continue through at least the first half of the year.  Turning now to our results in more details. Total company net sales for the first quarter decreased 18.3% to $64.1 million compared to $78.4 million in the first quarter of fiscal 2022. The year-over-year decrease was driven by a 6.3% decrease in Vince brand sales and a 99.2% decrease in Rebecca Taylor and Parker combined net sales due to the previously announced wind-down of the Rebecca Taylor business, which is substantially complete. The Vince brand net sales decrease was driven by year-over-year declines in both our direct to consumer and wholesale segments. As Jack discussed, both segments were impacted by macro related headwinds and saw relative outperformance in stores compared to e-commerce. More specifically, the year-over-year decline in wholesale topline performance was primarily driven by lower full price shipments, and was partly offset by an increase in off-price shipments. In direct-to-consumer, performance was impacted by lower e-commerce traffic in the quarter.  Gross profit in the first quarter was $29.6 million or 46.2% of net sales. This compares to $35.6 million or 45.5% of net sales in the first quarter of last year. The increase in gross margin rate was driven by lower freight costs, as well as the wind-down of the Rebecca Taylor business, which historically operated at a lower overall gross margin and offset the unfavorable impact from higher discounts in the wholesale off price channel, as well as an increase in promotional activity in the direct-to-consumer segment. Selling, general, and administrative expenses in the quarter were $32.7 million or 51.1% of net sales as compared to $40.9 million or 52.2% of net sales in the first quarter of last year. The decrease in SG&A dollars was primarily driven by the wind-down of the Rebecca Taylor business, resulting in a $5.9 million net expense favorability in the first quarter of fiscal 2023. In addition, we also had lower costs associated with compensation and benefits, as well as rent expense compared to the prior year period, which was partially offset by $2.9 million in transaction expenses related to the Authentic transaction and the sale of the Parker brand intellectual property in the first quarter of fiscal 2023. Operating loss for the first quarter was $2.4 million compared to an operating loss of $5.3 million in the same period last year. Adjusted operating loss, which excludes transaction expenses, as well as a gain on the sale of intangible assets relating to the Parker IP sale, was $0.3 million for the first quarter of fiscal 2023. Income tax benefits for the first quarter was $5.3 million, primarily as a result of the $6.1 million discrete tax benefit from the change in classification of the company's Vince trade name indefinite lived intangible assets to assets held for sales as a result of the Authentic transaction. This change in classification resulted in a reversal of the non-cash deferred tax liability previously created by the amortization of the indefinite lived trade name intangible asset recognized for tax but not for book purposes, as this non-cash deferred tax liability can now be used as a source to support the realization of certain deferred tax assets related to our net operating losses. Partially offsetting this benefit was a tax expense of $0.8 million from applying our estimated effective tax rate for the fiscal year to the three months pre-tax loss excluding discrete items. Our estimated effective tax rate for the fiscal year is primarily driven by the non-cash deferred tax expense created by the current period amortization of indefinite lived goodwill for tax, but not for book purposes. For the full year, we expect to report an income tax benefit of approximately $6 million. Net loss for the first quarter was $0.4 million or a $0.03 loss per share compared to a net loss of $7.2 million or $0.60 loss per share in the first quarter of last year. Adjusted net loss for the first quarter of fiscal 2023, excluding the impact from transaction expenses, the Parker IP sale gain, as well as the discrete tax impact I just reviewed, was $4.4 million or a loss of $0.36 per share.  Moving to inventory. Net inventory was $80 million at the end of the first quarter as compared to $83.3 million at the end of the first quarter last year. The year-over-year decline in inventory was entirely driven by the wind-down of the Rebecca Taylor business. While we had a moderate increase in our Vince inventory balance, primarily related to higher replenishment inventory and carryover fall inventory compared to last year, as we have discussed, we are pleased with the sequential improvement we have made with respect to our inventory balances. As we have mentioned previously, we continue to believe we will return to more normalized inventory levels in the second half of fiscal 2023, reflecting the actions we have taken to move through units, as well as more conservative buys for current season inventory.  Following the end of the quarter, we successfully closed our transaction with Authentic. With proceeds from the transaction, we have strengthened our overall liquidity position and increased our working capital. We have repaid in full $27.7 million that was outstanding under the term loan credit facility, and repaid a portion of the outstanding borrowings under our revolving credit facility. Concurrent with the close of the transaction, the amendment that we previously entered into with our ABL facility became effective. The amendment adjusted the facility's commitment level, commensurate with the net proceeds of the Authentic transaction and the maturity of the facility to June 2024. Given the updated terms, covenants, and conditions with this amendment, we are continuing to actively explore ABL refinancing options to strengthen our financial flexibility going forward. Turning to our expectations for 2023. While we are not providing formal earnings guidance at this time, we continue to expect fiscal 2023 to be impacted by the ongoing macro headwinds. We expect to see sequential improvement in our direct-to-consumer channel in the second quarter, while maintaining a more prudent outlook with our wholesale channel, as Jack discussed. As a reminder, as part of the transaction and long-term licensing agreement we have entered into with Authentic, we expect to pay an annual minimum royalty fee of at least $11 million in quarterly installments to ABG Vince, which will be reflected in SG&A expenses. While this, along with the transfer of our licensing business for footwear and soft accessories will have a negative impact on our operating income and net income going forward, we expect the impact to net income to be partially offset by the quarterly distribution received from ABG Vince, as well as lower interest expense, given our reduction in debt. With respect to the second quarter specifically, given the timing of the closing of the Authentic transaction, we expect to begin to incur royalty fees this quarter. We also expect to incur over $3 million of transaction-related expenses in the period and expect to recognize a gain on sale of the Vince IP. As we look longer term, with a stronger balance sheet in place, we believe we will be well positioned to execute against our objectives, including driving margin expansion through disciplined cost management and reduced promotional activity, strengthening our vendor relationships, and focusing on our strategic growth initiatives.  This concludes our remarks. Thank you for joining us this morning.
End of Q&A: Thank you, everyone, for joining today's call. You may now disconnect your lines and have a lovely day.